Operator: Ladies and gentlemen, thank you for standing by and very good evening to all. Thank you for joining Sohu's Third Quarter 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the management's prepared remarks, there will be a Q&A session. Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today's conference call, Tip Fleming from Christensen. Please go ahead, sir.
Tip Fleming: Thank you, Operator. Thank you all for joining us today to discuss Sohu.com's third quarter 2012 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; Co-President and Chief Operating Officer, Belinda Wang; Co-President and Chief Financial Officer, Carol Yu; also with us from Changyou our Chief Executive Officer, Tao Wang; President and Chief Operating Officer, Dewen Chen; and Chief Financial Officer, Alex Ho. We also have CEO of Sogou, Xiaochuan Wang; Vice President of Sohu and CEO of Sohu Video, Ye Deng. Before management begins their prepared remarks, I would like to remind you the company's Safe Harbor statement in connection with today's conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections, and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statement. For more information about the potential risks and uncertainties, please refer to the company's filings with the Securities and Exchange Commission, including its registration statement on most -- and most recent annual report on Form 10-K. Now, let me turn the call over to Dr. Charles Zhang, Chairman and CEO. Charles, please proceed.
Dr. Charles Zhang: Thank you. And thanks to everyone for joining our call. We are pleased with solid financial results we achieved in the third quarter. Total revenues surpassed our expectations driving 23% year-over-year. Brand advertising revenue met the high end of our guidance and online gaming revenue came in well ahead of our expectations. Our business unit, for online video, our newly set-up dedicated sales team is bringing in results and we expect fourth quarter advertising revenue to be back on the growth track. Sogou maintained triple-digit year-on-year revenue growth, which was supported by improved monetization. For Changyou, strong performance by both MMO and web games helped post new records for both revenues and profit. Now I would like to share some third quarter financial highlights with you. Total revenues were $285 million, up 23% year-on-year and 12% quarter-over-quarter, exceeding a high end of our guidance by $8 million. Net brand advertising revenues was 78%, up 2% year-on-year, and 12% quarter-on-quarter. Sogou revenues were $37 million, up 102% year-over-year and 23% quarter-over-quarter. Online games revenue reached a quarterly record of $151 million, up 30% year-over-year and 10% quarter-over-quarter. Non-GAAP diluted EPS were $0.77, compared with a US$1.26 in the third quarter of 2011 and US$0.42 in the previous quarter. Now, let me discuss our online video business in more detail. During the third quarter, Sohu Video continued to march forward and regain the market share. According to our research in September 2012, our average daily unique visitors increased by 16% from three months ago which was a 6% for the industry as a whole. This puts us in a solid number two position amongst all the new players. We believe the industry consolidation that has been taking place over past few months provided us with this land-grab opportunity. From the content side, we continue our contract record in picking the best performers at reliable prices. We lock in the Excalibur of Emperor (inaudible), one of the two top TV players in the third quarter, back in 2011, actually. This has not only brought us higher viewership on our own platform but also enabled us to extend several other popular TV serials from our peers. This again proved our insight in picking the right content and more importantly the media influence of our entertainment platform has muted us to be a preferred partner for content owner. Third quarter is also a big time for American TV players as new seasons are released. We maintained our leading position with the portfolio including the hottest selections like the Big Bang Theory, Gossip Girl, Nikita, just to name a few that users can only find on Sohu Video. We also broadcasted the Emmy award winning drama such as Homeland and Modern Family. These shows are especially appealing to metropolitan white collars and in turn this demographic group is highly started after by advertisers. In fact, content we licensed. Our in-house produced content also gained traction. We recently released our web drama series called (inaudible) and this comedy became an instant hit in the Internet space. Upon its debut, the show has quickly appeared on the top 10 on search ranking and it is massively shared on many social network sites. We’ll continue to invest in self-produced content by taste-for-taste and liking of internet users. Our 2013 content preparations, we have been in discussions with content partners and have found prices to be relatively stable. As of today, we already secured exclusive rights for about a dozen TV drama series. We’ll also raise our investment in other content categories such as variety shows and original production. We also made solid progress including our dedicated video sales team. Transition is smooth and we are confident that after having revenue from Sohu Video, we will be back on growth track in the fourth quarter. Belinda will provide more details in her remarks later. To sum up, as always given the strategic importance of the video business, Sohu Group is fully committed to this business segment. The Group’s strong tax position as well as Sohu Videos improved monetization capability has boosted our confidence to continue to invest broadly in the space. Now moving for our Sogou business. Sogou delivered another solid quarter with revenues doubling from last year. The increase was mainly due to increased traffic and a cost per click rates. Comparing to the third quarter of last year, our traffic and the average paid click rate increased 25% and 50%, respectively. The improved pricing is a result of our continuos efforts to optimize returns for our advertisers. In the third quarter, Sogou continued to focus its efforts in upgrading our current products and developing new innovative ones. In September, we released what we referred as intelligent version of Sogou Pinyin, our most popular Chinese Language input application. This new version added several new functions including a sting analysis. It analyze the sting in which users is inputting and return tailored results that that’s match the sting. Regarding competition a dynamics in China’s search market where we see a new competitor given that the majority of Sogou search product is from our own brother, our market share was unaffected. In September Sogou search query market grew by 28% from 74.4% in June according to CNVV a web statistic firm. Now moving to Changyou business, for MMO game, our flagship game Tian Long Ba Bu continues to as a leading MMO game in China. We continue to promote healthy game play and improved user experience in Tian Long Ba Bu. We extended last quarter strategy of offering several icons to player and coming back on in-game promotion. This together with the new task and the reward system launched on (inaudible) in the third quarter we saw an increase in TLBB’s player engagement levels at number of concurrent players with the decline in low spending players. On October 25th, we released TLBB’s a new major expansion pack with new features mainly targeted at the advanced level players. In 2013, we expect to continue releasing expansion packs every three to four months. In the third quarter, over 15% of our online game revenues are from web game, compared with 10% a year ago. This is mainly due to the opportunity of the popularity of DDTank and the growth momentum of Wartune. The newer game Wartune maintain a good momentum as we launched the game on more website and game portals in China, as well as more regions including South Korea and North America. In terms of our gaming pipeline, in November we plan to launch MMO first-person shooter game Battlefield Online and licensed game from Electronic Arts. In December we plan to launch a new web game Qu Shen which is a self-developed 2D navigation adventure web game. In 2013, we expect to have a full pipeline with at least 4 MMO games and several web games. These games were included both in-house developed games and the licensed game. In summary, among the major players in online games industry in China, carry always one of the few companies that have demonstrated ability to develop popular MMO games and web games with owning and operating a leading game information portal 17173.com that serve as a gateway to gamers. With such a new store base, we believe that Changyou is well positioned to further grow our business and take advantage of many growth opportunities available in China and globally. Now, I would like to strictly discuss our missions on mobile internet. China’s Internet sector is quickly transitioning from PC to mobile. Our group is excited about the tremendous opportunities surrounding this evolution. We are proactively migrating full range of our PC products onto mobile. For example, Sogou has developed its mobile strategy for its existing range of PC products, namely Sogou Pinyin browser and search. And it’s seeing initial success. Sogou Pinyin by leveraging its reputation and the popularity on PC end has become one of the top five mobile applications in China with more than 17 million monthly users. The biggest mobile apps have been installed on millions of smartphones and tablets. In the third quarter, the number of users logging in onto apps more than doubled from the previous quarter. And now, I will pass the call over to Belinda for an overview of our brand advertising business.
Belinda Wang: Now, in the third quarter, our brand advertising revenues reached a high end of our price guidance, thanks to a solid demand from FMCG sector and the recovery of real estate sector. For online video, the setting up of dedicated sales team is well on track. To date, the direct account sales team has been in place while we are in the process of setting up the agency of sales team. In the third quarter, we made impressive progress for the FMCG sector and its revenue rose 40% compared with previous quarter. For the fourth quarter, we expressed some non-FMCG sectors will also pick up momentum. Overall, we are confident that video advertising revenues where we stills grow on a year-over-year basis. For the auto sector, we do see some weakening signals for the fourth quarter, Japanese car makers delayed their marketing campaigns and it cost our budgets as the result of impact that is expected to be offset by contribution from other sectors. Based on the current information for the fourth quarter, we expect first for Sogou Group including 17173 to an advertising revenue before tax to be between $88 million and $90 million. Net brand advertising revenues to be between $80 million and $82 million within price of quarter-on-quarter and year-on-year increase of 3% to 5%. Now, I will turn the call over to our Co-President and CFO, Carol Yu, who will walk you us through the quarter's financials.
Carol Yu: Thank you, Belinda, and hello everyone. I will now take you through our financials for the third quarter. One, revenues, total revenues were $285 million, up 23% year-over-year and 12% quarter-over-quarter. Brand advertising revenues were $78 million, up 2% year-over-year and 12% quarter-over-quarter. Sogou revenues were $37 million, up 102% year-over-year and 23% quarter-over-quarter. Of this, search-related revenues were $35 million, up 92% year-over-year, and 23% quarter-over-quarter. The number of search customers and the average spending per customer increased by 39% and 29% year-over-year respectively. Online games revenues reached a quarterly record of $151 million, up 30% year-over-year and 10% quarter-over-quarter. Wireless revenues were $14 million, a year-over-year increase of 1% and quarter-over-quarter decrease of 8%. Now, let me provide some more details about our other financials. From now on, most of the figures discussed will be on a non-GAAP basis. As a reminder, you can find a reconciliation of these non-GAAP measures in our official earnings release. Two, gross margins, non-GAAP gross margin in the third quarter were 66% compared from 361% in the previous quarter and 71% for the same period last year. Three, operating expenses, non-GAAP operating expenses for the third quarter of 2012 totaled $121 million, an increase of 14% from the previous quarter and an increase of 38% from the same period last year. The quarter-over-quarter increase in non-GAAP operating expenses was primarily due to an increase in number of employees, higher salaries and benefits and increase in marketing expense. A year-over-year increase in non-GAAP operating expenses was primarily due to the increase in number of employees and higher salaries and benefits expense. Four, operating margins, non-GAAP operating margin was 24%, compared with 19% in the previous quarter and 33% for the same period of 2011. Five, income tax expense, income tax expense was $19 million. Excluding a non-cash income tax expense of $1 million recorded for the utilization of tax benefits, from excess tax deductions related to share based awards. Non-GAAP income tax expense was $18 million flat-ish with the previous quarter. Six, net income, before deducting the share of net income pertaining to non-controlling interests, non-GAAP net income was $59 million. Non-GAAP net income attributable to Sohu.com Inc. was $30 million or $0.77 per fully diluted share. Seven, net margin, non-GAAP net margin before deducting the share of net income pertaining to the non-controlling interest was 21% compared with 16% in the previous quarter and 30% in the same period of 2011. Eight, moving on to the balance sheet and cash flow statement, for the third quarter, we generated about $144 million in operating cash flow. Changyou generated $100 million, whereas the other business units generated $44 million. As of September 30, 2012, the net accounts receivable was $98 million compared with $110 million at the end of the second quarter of 2012. Brand advertising DSO for the third quarter was 55 days compared to 75 days in the previous quarter and 64 days in the third quarter of 2011. Nine, our outlook for the fourth quarter of 2012 is as follows, we are expecting total revenues to be between $288 million and $293 million. Brand advertising revenues to be between $80 million to $82 million, this implies a sequential and annual increase of 3% to 5%. Sogou revenues to be around $40 million. This implies a sequential increase of 7% and an annual growth of 74%. Online games revenues to be between $152 million to $155 million. This implies a sequential increase of 1% to 3% and represents an annual growth of 23% to 26%. Before deducting the share of non-GAAP net income pertaining to non-controlling interest, non-GAAP net income to be between $48 million to $51 million. Non-GAAP net income attributable to Sohu.com, Inc. to be between $23 million to $25 million, and non-GAAP fully diluted earnings per share to be between $0.60 to $0.65. Assuming no new grants of share-based awards, we estimate that the compensation expenses and income tax expenses relating to share-based awards to be between $3.5 million to $4.5 million. The estimated impact of this expense is expected to reduce Sohu's fully diluted earnings per share for the fourth quarter of 2012 under U.S. GAAP by $0.09 to $0.11. In summary, our strategic move of setting up a dedicated rebuild sales team from early 2012 started to bear fruit. Our business units including Sohu Video and Sogou are make solid development as the group consistently and carefully grooms them. The encouraging progress validates our strategy that is to maximize long-term shareholder value. This concludes our prepared remarks. Thank you for joining the call today. Operator, we would like to open the call to questions.
Operator: (Operators Instructions) Our first question comes from the line of Dick Wei from JP Morgan. Please ask your question.
Dick Wei - JP Morgan: Hello. Thank you very much for taking the questions. I have questions on the brand advertising outlook. Looks like the seasonality is pretty good for fourth quarter for this year compared with the historical seasonality. I wonder, is that mainly company specific issues like such video and maybe the change in accounting in the real estate business earlier has bear fruit or is it the macro outlook is turning more positive for advertising market turns more positive. I wonder if management can discuss that and maybe also the EBITDA in terms of industry revenue in Q3 and effective in Q4? Thank you.
Belinda Wang: We actually start to have solid demand from -- solid expecting demand from FMCG sector especially on our online video content to drive the demand from the FMCG nearly improved our objective to deliver this advertising revenues. And also as I mentioned previously that we really thought the covering of the revenue from the real estate sector because although we did not see a clear signal of the policy changes but the real estate developers would like to push themselves in a short term. So really we got the revenue only on close up starting -- from third quarter and moving to the fourth quarter. Also, same with the last quarter, our top industry category, auto, real estate and FMCG.
Dick Wei - JP Morgan: Great. Thank you very much, Belinda.
Operator: Thank you. Our next question comes from the line of Ed Leung from Merrill Lynch. Please ask your question.
Ed Leung - Merrill Lynch: Good evening. I have following questions about the Video business. Belinda, last quarter you were pretty cautious on the near-term growth of the Video business because of the transitions of the sales team. However in this quarter, it seems like on the press release things turned out to be pretty okay. So, I’m wondering, could you share more color with us on the growth of the Video revenue in the third quarter and how would that compare with your previous expectations and if it is not better, what happened? Thanks.
Belinda Wang: We told you about the Q3, the actual Q3 results versus our expectation, right.
Ed Leung - Merrill Lynch: Yeah.
Belinda Wang: Yeah. Third quarter we really experienced transition periods because we have -- we have a set up our dedicated team for the online video sector. And the team really improved their ability especially on the FMCG sector and we really see the numbers of FMCG advertisers is growing up. And secondarily, team are making quite efforts on optimizing the efficiency of our Video advertising management system and which really help us to get more revenue from CPM consumption model, yeah.
Ed Leung - Merrill Lynch: Got you.
Operator: Thank you. Our next question comes from the line of Alicia Yap from Barclays. Please ask your question.
Alicia Yap - Barclays: Hi. Good evening. Thanks for taking my questions. My question is regarding the competitive landscape for Video and Search. So with Baidu’s acquiring the remaining stake of IT how do you see that might affect Sohu online video business going forward and for Sogou, I understand your comment that…
Belinda Wang: Could you repeat that question please, Alicia. Okay. So, you are talking about how would Baidu taking up the rough -- the share -- to take from providence of IT, right. How would that affect you?
Alicia Yap - Barclays: Yeah. Yeah.
Belinda Wang: Let me take that.
Alicia Yap - Barclays: Yeah. Yeah. Yeah.
Belinda Wang: I am sorry. Take you my reference that about sorry, because sorry.
Alicia Yap - Barclays: Yeah. So, with the landscape on the Video, so how would Sohu online video business going forward and I also wanted to note on the Sogou the landscape as well understand management comment Sogou did not see any entire from the new competitor, but wanted to get management view on the industry landscape. How do you see the new competitor will proceed going forward and how the new entrance will ship out the overall industry landscape in the next few months?
Belinda Wang: Okay. Let me take the question on the Video side first. I do not think that the Baidu, taking up additional stake in IT would affect that at all. We are as always very confident and committed to our Video business. We will stand by our Video business as ever. And the fact that, the video business has improved their monetization and now had completed structure has given even more confidence in pushing forward, watching forward with this business. So, we don’t see any impact at all from outside.
Alicia Yap - Barclays: Okay.
Belinda Wang: And then on the Sogou part, I think what Charles, Tip has already described is that the other competitor 360 as well as ourselves has proved the beauty of this formula of having a client and software pushing browser, browser pushing Search clear these traffic. I think we now have two dominant search players proving that formula to be very effective and successful. So we would just watch forward that’s actually good news for us.
Alicia Yap - Barclays: Okay. Great. Thank you for the comment.
Dr. Charles Zhang: And I think just one comment about the Video is since our Sohu overall platform, Sohu news and Sohu home page and Sohu news on mobile, everything is growing very nicely and the Sohu Video will have the more foods of core of the Sohu overall platform both from the Sohu home page, Sohu mobile and also browser and Sogou, so basically are the group -- so both from the group level.
Operator: (Operator Instructions) Your next question comes from the line of Muzhi Li from Citigroup. Please ask your questions.
Muzhi Li - Citigroup: Hi. Thanks for taking my questions. Just wanted some color about the margin improvement in the brand advertising segment and how do you see the operating margin and the growth margin trend in the fourth quarter and going into the next year? Thank you very much.
Belinda Wang: In group watches, all three come from the uptake in revenues. I think process is pretty stable. We do expect stable margins for the Q4 and then in 2013.
Muzhi Li - Citigroup: Thank you.
Operator: Thank you. Your next question comes from the line of Ming Zhao from 86 Research. Please ask your question.
Ming Zhao - 86 Research: Thank you very much for taking my question. I just have a question being product but other than that do you have any other products that you feel proud, you feel that you just are going to use on a loss and what kind of cost and revenue opportunities, you are going to see with your mobile strategy for next three years? Thank you.
Dr. Charles Zhang: Definitely, as I said the several keys now in the application of mobile is one of the top five applications on mobile phone. We definitely looking at also our Video -- Sohu Video application and also Sohu mobile application. And I think now it’s really the land grab and the market share stage. So we believe that the -- as well as we have the market share then the business model will follow. So now it’s really, this is new experience and I’m clear about this. We believe that we will -- as we have user, we’ll have of our business model.
Belinda Wang: And just to add on what Charles said, we were not just only replicate what we have on the PC side on to the mobile. And what we will do is for example on the Sogou side we have three major products namely Pinyin, Browser and Search. We will not only replicate these three products on the mobile end but we will also add more products. So we are now -- at the present moment, we have already in design of five products -- two more product I have not found on the PC and on the mobile and we will launch it over the next three to six months.
Ming Zhao - 86 Research: But do you expect a lot of investments that we will hear you?
Belinda Wang: That was part of our R&D product development, so it won’t be a big uptick.
Ming Zhao - 86 Research: Okay. Thank you very much.
Operator: Thank you. Next question comes from the line of Philip Wan from Morgan Stanley. Please ask your question.
Philip Wan - Morgan Stanley: Hi. Thanks for taking my question. I have a question about your Sogou business, could you please update us the total employees for the business this quarter? And also how many of them belong to R&D, if possible could you share with us how much CapEx are you incurring for the Sogou in the fourth quarter? Thank you.
Belinda Wang: I will just ask Tao Wang to take this question, R&D. [Foreign Language]
Tao Wang: [Foreign Language]
Tip Fleming: Okay. So for Sogou, on a standalone basis, now the total headcount is just over 1,300 and among that number, about 80% is R&D stuff.
Philip Wan - Morgan Stanley: All right. Thank you. And then how much CapEx in this business is incurring at this point?
Tao Wang: [Foreign Language]
Tip Fleming: So, the CapEx budget for 2012 is about $14 million.
Philip Wan - Morgan Stanley: Thank you.
Operator: Thank you. Next question comes from the line of Mark Marostica from Piper Jaffray. Please ask your question.
Mark Marostica - Piper Jaffray: Yeah. Thank you for taking my question. Just curious I know these viable strategies came down little bit in the quarter sequentially. Can you talk about trends there? Thanks.
Belinda Wang: You are talking about the wireless revenues, right?
Mark Marostica - Piper Jaffray: Correct.
Belinda Wang: Just asking you, that’s because of policy top -- policy issue, the regulation issue.
Dr. Charles Zhang: Couple of operation, right, mobile operation.
Belinda Wang: Yeah.
Mark Marostica - Piper Jaffray: Okay. Thanks.
Operator: Thank you. Next question comes from the line of Muzhi Li from Citigroup. Please ask your question.
Muzhi Li - Citigroup: Hi. Thanks for taking my follow-up questions. I just wanted to ask about the Search business at whether it is under the pressure that the PC Search volume could be coming down or you see that it’s not (inaudible).
Xiaochuan Wang: [Foreign Language]
Tip Fleming: Okay. So, what we would have to say is the obviously the growth rates about the PC Search in terms of the search queries have slowed -- have been slowing down, but the overall size is still quite large and kept us stable. So, I think we are still making efforts to add the PC users to use more of Sogou search product, because I think the Sogou search market. Sogou search market share is now at still relatively low and it still has a lot of room to grow. And of course, I think, we have more products on the mobile side for our future growth.
Muzhi Li - Citigroup: I see. Thank you. I want to ask follow-up questions regarding, is that the two, three years stabilization period for Sogou or is for search as on overall basis?
Xiaochuan Wang: [Foreign Language]
Tip Fleming: We report to the overall PC search market, will be kept relatively stable in the next two to three years.
Muzhi Li - Citigroup: Thank you very much.
Operator: Thank you. Our next question comes from the line of Dick Wei from JP Morgan. Please ask the question.
Dick Wei - JP Morgan: Hi. Thank you for taking my follow-up questions. I wonder if you can further discuss about how big is the video advertising revenue for the quarter and also what is outlook, and also about video spending in this quarter and maybe if you can talk about outlook for 2013? Thank you.
Belinda Wang: Dick, I didn’t understand much of your question. You are asking about Q3 sales?
Dick Wei - JP Morgan: Yeah. How much revenue is from video for third quarter and also the videos kind of the content budget for next year?
Belinda Wang: Well, the content for -- content that was launched in 2012, the total content amount is about $50 million. We haven’t fixed content budget yet, because we are very confident about our video business. That number can increase, I don’t know, 30%, 40%. We are still working on the next year budget. But we already signed up a good number of the content already.
Dick Wei - JP Morgan: And what is the video revenue for this quarter if you can share?
Belinda Wang: I just told you we don’t disclose that.
Dick Wei - JP Morgan: Okay. Got it. Thank you.
Operator: Thank you. And next we have a follow-up question from Alicia Yap from Barclays. Please ask the question.
Alicia Yap - Barclays: Hi. Thanks for taking my follow-up questions. I wanted to know like what do you think will be the effective monetization model for search business in mobile?
Xiaochuan Wang: [Foreign Language]
Tip Fleming: Okay. It’s still too early to comment on the potential monetization method on the mobile Internet. Of course, I think the whole ecosystem we think is now fully viewed. But what we are trying to do is to focus on the R&D and to develop some mix and unique products and differentiate from the competing products.
Alicia Yap - Barclays: Okay. Then, can I know, if you can disclose, what is the percentage of the mobile search query contribution to the total search query that you have?
Xiaochuan Wang: [Foreign Language]
Tip Fleming: Yeah. Alicia, we don’t disclose that data yet.
Alicia Yap - Barclays: Okay. Sure. Fine. Thank you so much.
Operator: Thank you. Next question comes from the line of Mi Zhou from UBS. Please ask the question.
Mi Zhou - UBS: Good evening. Thank you for taking my question. My question is on the cost for advertising business, actually I was surprised that the cost of revenues for advertising hasn’t grown much in Q3 given that during Olympic Games, there should be more constant costs. So my question is, why is the cost growth has been contained in Q3, and is that one-off efforts or is that an ongoing process to control the costs? Thank you.
Belinda Wang: The content cost in Q3 is lower in terms of because we have just a one-time amortization write-down of our video content back in Q2. The number affected is not that much, so it is part of our efforts to control the overall cost of revenues.
Mi Zhou - UBS: Thank you very much. And I also wonder, is videos operating loss actually shrunk from Q2 ’12 after excluding the impairment of video content in Q2. So if we exclude the impairment of video content in Q2 and we compare the optimum amount in Q2 with Q3, you will see the company loss actually coming down?
Belinda Wang: It’s actually pretty flattish.
Mi Zhou - UBS: Okay. Got it. Thank you.
Operator: Thank you. (Operator Instructions) The next question comes from the line of Wendy Huang from CIMB. Please ask the question.
Wendy Huang - CIMB: Thank you for taking my question. Carol, I asked that you don’t disclose video revenue breakdown, but I wonder if you can share the growth trend of the video business in past few quarters, and what kind of growth for the video business implied by your Q4 guidance? And also when do you expect video business to break-even in the long-term? Thank you.
Carol Yu: I do not expect video business to break-even in 2013. But on a longer-term basis because of the massive budget shift from TV advertising to video advertising, I’m very optimistic about that business will be profitable in, for example, 18 to 24 months time. Regarding the growth trend, we were been -- we have been experiencing a very nice growth trend until the second quarter of this year where we are now standing up of the dedicated sales team. So we actually were -- we had a down quarter in -- in the third quarter and we are back on a growth track for the fourth quarter. For year 2013, our target is at least to double from where we are today.
Wendy Huang - CIMB: So do you expect your video revenue growth to maybe catch up with overall video industry growth in Q4 in 2013?
Carol Yu: I do expect the growth rate will exceed the industry average, because we have been lagging behind for two quarters, we have to make that up.
Wendy Huang - CIMB: Okay. So, I have a housekeeping question on your wireless and others revenue guidance. Can you help me understand that $7 million decline sequentially, how much is it due to the wireless regulation changes and how much is it due to the decline in sub-licensing revenue related to the DTV drama? Thank you.
Carol Yu: I don’t have that number off-hand. I really get back to you off-line.
Wendy Huang - CIMB: Okay. Thanks.
Operator: Thank you. The next question comes from the line of Jiong Shao from Macquarie. Please ask the question.
Jiong Shao - Macquarie: Thank you very much. I’ve got a couple of questions as well. Firstly, could you talk about how much is the auto as percentage of your brand advertising and how much of that auto settlement is from the Japanese automakers?
Belinda Wang: Okay. So the auto sector will remain above the 25% of the total high. And in terms of the Japanese auto manufacturers, in Q3, I think if it’s normal we can contribute to 10% to 20% of the total auto revenues.
Jiong Shao - Macquarie: Sorry. Just clarify, if it’s normal it’s 10% to 20%, but it’s below normal in Q3?
Belinda Wang: Yeah. It’s not normal. Actually it’s slightly affected by the (inaudible) high end each.
Jiong Shao - Macquarie: Okay. Great. That’s very helpful. My second question is on search. I was wondering could you please talk about sort of how you view the difference between you and the dominant search player. The CPC clicks rate and the coverage ratio -- if you can share some of that that will be great? And also as you move into mobile to do the mobile search, how you see those metrics evolving over the next couple of years against CPC coverage ratio and click rate? Thank you.
Xiaochuan Wang: [Foreign Language]
Tip Fleming: The clicks rate of Sogou is currently about 80% of that of Baidu and we are actually moving close to the level that Baidu achieved now.
Xiaochuan Wang: [Foreign Language]
Tip Fleming: In terms of clicks, CPC, the cost per click rate, now we are about between one-third to 50% of Baidu.
Xiaochuan Wang: [Foreign Language]
Tip Fleming: The coverage number is quite similar to Baidu.
Jiong Shao - Macquarie: Thank you.
Operator: Well, thank you. Ladies and gentlemen, that’s all the time we have for questions today. And I would now like to hand the conference back to Mr. Tip Fleming for closing remarks.
Tip Fleming: Thank you everyone for joining us today. If you have any further questions, please don’t hesitate to contact us or the company directly. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.